Operator: Ladies and gentlemen, thank you for standing by. Welcome, and thank you for joining the Q3 2022 earnings call of Evonik. [Operator Instructions]. I would now like to turn the conference over to Christoph Finke. Please go ahead.
Christoph Finke: Good Morning, and thanks, everybody, for joining our Q3 call today. In case you are wondering, no worries, Tim is still around. Unfortunately, he had to call in sick today, and had to stay home. So for the first time in almost 10 years, there's an Evonik earnings call without him. Get better soon Tim.  But of course, we have, as usual, our CEO, Christian Kullmann; and our CFO, Ute Wolf, on the call. With that, over to you, Christian.
Christian Kullmann: Good morning, ladies and gentlemen, and thank you, Christoph, and welcome, and thanks for joining our call today. And before we get right started all the best to you, Tim. And stay healthy, and come back as soon as possible.  Ladies and gentlemen, 3 months ago, we reported a record first half for Evonik. Nevertheless, it felt somewhat strange as we all knew that the demand slowdown was coming. The only question was indeed when and how pronounced. Now I'm tempted to say, finally, the slowdown is reality and visible in our numbers. But we are well prepared also for a potentially weaker macro environment. With the experience from recent slowdowns, we manage cost inflation very proactively with a global exposure with a balanced regional footprint. We've made our energy supply as prices proof as anybody in the industry, and we continue to execute our long-term strategy.  Specifically for this quarter, this means we have delivered a solid result with EBITDA only 5% below the strong prior year level, and we are confirming our adjusted EBITDA guidance range for this year. Ute will elaborate a little bit more on the operating performance in the quarter in a second -- maybe in 2 seconds. Let me first make some remarks about our strategic progress that we continue to make despite or even accelerated through the increasingly difficult environment around us. In the third quarter, we took another step in streamlining our portfolio. When talking about portfolio management at Evonik to many directly think about Performance Materials, but we are also constantly optimizing our growth divisions.  Last quarter, we announced the sale of our U.S. betaines activities out of Nutrition & Care. This quarter, we can announce the divestment of GAA derivatives out of Specialty Additives, which do not fit our specialty portfolio criteria anymore. With €100 million of sales, this is a quite sizable business and in the sales resulting in an active cash flow -- attractive cash flow. Regarding Performance Materials, we are progressing as planned towards our target to find new owners in the course of the next year.  Moving to the even more exciting stuff, businesses that stand for the future of Evonik. As challenging as the current environment is as much that is a push for the sustainable solutions in our portfolio. For many of our next-generation solutions, we see an unchanged strong customer growth despite the overall downturn. And we also continue or even accelerate our innovation activities in this field. I would like to highlight just a second example on Slide 5. Our contribution to better recycling of lithium batteries, recycling of lithium can solve 2 issues. Helpful feels rapidly growing demand and push circularity. Right now, battery recycling is complex and expensive. To change that, Evonik is developing an innovative electrolysis cells whose special feature is a ceramic membrane between the anode and the cathode.  The lithium extracted by this membrane so pure that it fulfills the high standards for battery-grade material without any need for further processing. We are now changing the [indiscernible] to a pilot plant level. Market revenues is expected in 3 to 5 years, with a lot of first-generation EV batteries will need to be recycled. I'm closing the strategic update part with another example of our accelerated transformation into next-generation Evonik. Just a few days ago, we have signed our first sizable power purchase agreement with EnBW. EnBW, we're building new wind farm in the German North Sea. And from there, Evonik will receive green energy to cover around 25% of our European electricity needs as from 2026 onwards. That will not only reduce our dependency on fossil energy sources.  With long-term fixed conditions, it will give us also more planing security. More projects are in the pipeline in our regions, and we make strides towards reaching our ambition 2020 emission reduction targets.  And with that, ladies and gentlemen, on the current operational performance, Ute, it's your turn. Over to you.
Ute Wolf: Thank you, Christian, and a very good morning to all of you also from my side. In Q3, sales again moved substantially higher. Volumes declined across virtually the whole portfolio. But the plus 17% in pricing demonstrates that we continue to compensate our higher variable costs in all divisions. This also includes energy costs. While it is becoming more challenging to push for further price increases, we do not yet see prices coming down on a broad basis. And on the other side of the equation, raw material and logistic costs have started to come down as supply challenges cease. So maintaining attractive price levels in a slowing environment will be the next proof for our Specialty portfolio. .  Let me quickly run through the divisions. Specialty Additives was the best performer this quarter with 8% EBITDA growth year-on-year. Once more, the division is proving its resilience in a challenging environment driven by another outstanding 18% in price increases. In Nutrition & Care, Care Solutions continues its strong growth track record. Animal Nutrition had a weaker quarter, impacted by customer destocking, lower prices and higher raw material costs. However, raw material costs should have peaked, and we expect to see sequentially higher volumes in the fourth quarter. In Health Care, we had a kind of mortally lower quarter. At several of our production sites, we had to deal with some pickups in production or logistics. While each individual one was manageable, the accumulation of incidents resulted in one of the weakest quarters ever for Health Care. With most of the issues being resolved by now and quite some order backlog, we expect a good catch-up in Q4.  Smart Materials delivered a solid quarter, with year-on-year stable volumes and earnings. While silica and silanes performed really well, PA12 suffered from lower butadiene volumes due to planned and unplanned maintenance in our C4 chain. The PA12 market remains sold out and order intake is strong. In hydrogen peroxide, with natural gas as a main raw material, the very high prices force some of our customers to limit or even temporarily close their production. Following a record quarter in Q2, Performance Materials experienced normalized C4 chain spreads as well as lower volumes due to the aforementioned planned and unplanned maintenance.  Throughout the first 9 months of 2022, we faced a net working capital outflow of slightly more than €1 billion. This is €500 million more than last year. Considering that, the positive momentum change in Q3, and cash generation is a clear positive with a very high focus on net working capital reduction throughout the whole organization, we were able to generate almost €300 million of free cash flow in the quarter. And we will continue to work on all levers in Q4 to further substantially reduce the net working capital.  More on that in the outlook part. And with that, back to you, Christian.
Christian Kullmann: Thanks, Ute. Pleasure taking the second turn. You've heard it, ladies and gentlemen, the environment is getting tougher. But you have also recognized, Evonik is a company you can rely on, in particular in those difficult times. Let's not forget, we have been successfully navigating uncertainty and difficulty for a while now. When looking into 2023, this means there's quite some structural support. First, we'll benefit from our resilient and regionally balanced portfolio setup and the strengths of our growth divisions.  Also, in the next year, we're confident to see growth in selected product groups driven by our sustainability focus and defensive and market exposure. On top, our new PA12 capacities will enable volume growth. Second, 2023 is the year in which we take the next steps in simplifying our portfolio. Progress in directing Performance Materials is and remains on top of our agenda for the next year. This will result in an even more balanced portfolio with reduced exposure in Europe. Third, the measures we implemented early to reduce our dependency on natural gas give us confidence, to secure supply and high level of cost control.  With our high hedging rate and our alternative energy sources in place, we are less dependent on the outcome of the political decisions in Germany. And finally, we are well prepared to fight factor cost inflation. Let me skip chart 14. I'm sure we will discuss 2023 in the question-and-answer session in more detail. So moving directly to chart 15. Over the last month, we have been confronted with a debate about the competitiveness of European chemicals. Some have even called out the deep industrialization of Europe. Ladies and gentlemen, that is what we cannot confirm. We do not confirm this view.  First, we have a very balanced regional footprint, especially so following the intended divestment of Performance Materials. We will then have less than 40% of our products being produced in Europe, and all major value chains have production up in all 3 key growth regions. And secondly, our Specialty Chemicals business model ensures profitable operations in all regions of the world. Our production is, on average, less energy intensive. And our solutions are highly innovation-driven and customer-centric, resulting, as you have seen already, in good pricing power. This secures the high profitability level we have in Europe and in Germany today and in the future.  Let's turn to an update on energy. Already in September, we have successfully switched substantial volumes of our gas supply in Marl from natural gas to LPG. Other measures are also underway, overall, reducing our gas needs in Germany by 40%. Combined with our hedging strategy, visibility on the energy cost side remains high. Into 2023, we expect an increase of €300 million, significantly less than we had to digest this year. Although, the German government has issued a new draft about the gas price gap last week. Many open questions remain, and the benefit for us is not clear yet. But the main message from us is, we, ourselves, have high visibility and control on our energy bill in the next year. And this is nearly irrespective of the outcome of the political discussion here in Germany. Therefore, for the time being, with a conservative approach, we do not assume a material impact from it. But again, the main message for you is, we have done our whole work on the energy side, and we are in the driver seat.  We have successfully compensated higher costs through higher prices in the last 2 years. But we also need to get prepared for a lower volume and continuously high inflation environment. Deliberately, we decided against the specific cost savings program in the current situation. We have constantly streamlined our operational and admin activities by continuous improvement over the last years. We are clearly profitable in all regions of the world. We have learnt a lot from the still recent COVID crisis. Consequently, we have a comprehensive contingency measure toolbox ready to deploy.  It has proven very effectively in 2020 already. We have now reactivated this toolbox. This toolbox is in place. We will implement swift and adequate contingency measures both in operations and administration. Different from a larger cost savings program, our toolbox is effective immediately with a high degree of flexibility, and the scope can be adapted to the actual macroeconomic environment. The cost savings potential is a triple-digit million amount in the next year without any sizable cash out. So you can say we will take a balanced view on leverage growth opportunities of the one hand and cost consciousness on the other hand.  Moving on the outlook for 2022. We are confirming our adjusted EBITDA outlook between €2.5 billion and €2.6 billion. This narrow guidance range is unchanged since March, which is quite an achievement in the volatile environment around us, and it does imply a very good 7% growth at midpoint. This is assuming a similar pace of macro slowdown for the fourth quarter, as already experienced during the third quarter.  Ute already discussed the challenges around free cash flow, mainly linked to the net working capital headwind. But you have also seen that cash generation is pointing into the right direction. We will keep executing our defined measures to free up net working capital, and by this, to come as close as possible to a cash conversion rate of 30% for the full year. This lower cash conversion rate is temporary. For next year, we aim to return to our target of 40% that we've been delivering over the last 2 years. And that has differentiated us from many of our peers over the recent years. And also this year, as you can see on Chart 20.  Ladies and gentlemen, with that, thanks for your interest so far. And now we are happy taking your questions.
Operator: [Operator Instructions]. The first question is from the line of Andreas Heine with Stifel.
Andreas Heine: Two first questions. The first is, could you provide, please, an update on the polyamide 12 plant? You mentioned this as driving earnings in 2023, but so far, it was always delayed. Maybe you have an update available. The second is on Health Care. I really would like to understand a little bit more what was happening in Health Care, and whether everything of that is solved and what we can then expect going from Q3 into Q4 from this segment?
Christian Kullmann: Yes. Okay. Andreas, let me start with your question about PA12, and then Ute will provide you with some more precise details about the potentials and perspective of our Health Care business. But now it's about PA12. It is really attractive technology, and here in this respect, the market is narrowed, and do you have brilliant perspectives? Yes. So in other words, [indiscernible] ahead of it. But on the other side, and that it's fair to say that we do have here once and once again, let me say, to deal, and I personally to suffer with some delays. Delays because of the coronavirus impact, delays because we have suffered from getting the technical devices we need for several times. So yes, here, we will see the good earnings contribution and good positive EBITDA contribution from the next year onwards. So in other words, it is something like an EBITDA reserve, we will activate for 2023. And yes, it is fair to say that we have some delay because of those corona impacts and all these digitalization to get the right technical devices and to implement them. So here, we have a situation where we are happy that we have now made our points and that we will be able to start the capacities and to bring our capacities into the market. And talking about the market, fair to assume that the market environment for our PA12 is really attractive. I will think about the automotive, especially the EVs here in the automotive area, how to think about electronics, how to think about oil and gas and how to think additive manufacturing where we do have really attractive perspectives and chances. So in other words, we are prepared and will be. And we are now, let me say, pretty well on track to benefit from our PA12 capacities in 2023, as mentioned onwards. And with this, Ute, it's your turn.
Ute Wolf: Yes, for Health Care. I think I want to start with a clear positive message. The demand from customers is strong. It is really a culmination of internal issues, smaller issues, but then -- in the combination that they come to -- came together in 1 quarter, and that resulted in significantly lower shipments to our customers. I'll give you some examples. We had production downtime in the U.S. because the water meter was bursting just above a clean room. So the clean room was, of course, not clean any more and you can imagine how much work that is, and how much time it takes to make that. Up again, we had a crack in an in-land layer of a reactor that also takes time. And of course, to repair it -- we had a COVID outbreak on site when that shift could not be run at times, and similar issues, not only in production but also logistics. The clear message is most of the issues have been resolved already. So the business is largely up and running. We had a clear catch-up here for Q4. It is also not unusual that Health Care has a very strong Q4. So many of the shipments are shipments for the next year for our customers. So they have a lot of batches and campaigns made ready for Q4 sales. So that is also not unusual. And that's why we're very confident that this will be delivered in the Q4 of this year. Already, late September, early October, we saw really high shipments from the drug delivery. So what we can see confirms that you completely. If you look at next year, I think that may be even more important today. The pipeline for '23 is also very strong. We have new mRNA liquid-based development with our partner, BioNTech. So we now really develop other applications beyond COVID vaccination. Of course, the cell culture ingredients for COVID antibodies also has a good potential for '23 and biomaterials and fermentation projects also are very strong with an unchanged good track record.
Operator: The next question is from the line of Gunther Zechmann with Bernstein.
Gunther Zechmann: A couple of questions from my side as well, please. The first one on volumes in Nutrition & Care. Could you just talk us through the main drivers? How much of it is Animal Nutrition in methionine volumes what gives you confidence that it's destocking? And how long would that destocking last? And are there any other drivers beyond Health Care, to Andreas' question earlier, that is causing the volume decline? And then secondly, on the strategic progress on the divestments, if you could please just run me through the progress in the various asset divestments that you're seeing right now.
Ute Wolf: Yes. Gunther, thank you very much for the question. I'll start with your question on volumes in Nutrition & Care. As methionine is the largest volume business in Nutrition & Care, of course, that is driving the overall volume development for the division very much. What we have seen here is an ongoing customer destocking. So, I think people were stocking very much last year, and this year with all the experience from COVID and lockdowns. And that is now step-by-step brought back to a more normal level. Of course, we have an impact generally in the market from the global inflation with low income in emerging markets.  So from that point of view, that is also lower meat consumption, and that's why a somewhat lower demand for methionine. And of course, for us as a company, we don't sell into Russia. These businesses are missing for us. The volumes year-on-year, of course, are missing. Health Care, as I said, the temporary supply chain challenges. But here, volume is maybe not the most sensible indicator. Care Solutions, very healthy demand. But as we move more into specialties, it's also a mix effect that we have, that we have very profitable sales, but maybe with a lower volume because it's a more specialized business. So I think that's a very good development here as well.
Christian Kullmann: Gunther, to take the second question. Let's keep it like this. All the projects are steaming and stamping into the right direction. So we have made good progress here, give you a little bit more color about the details in Baby Care. We have managed it, the investment bank and the document for the official start of the process are already prepared. Functional Solutions. Here we are in the due diligence with some potential buyers, and we do see good progress here, too, and the carve-out preparation are already well advanced.  Talking about the Performance Intermediates business, here, the cap out processing is moving ahead as planned. This transaction -- the transaction structure is already defined in the asset structure largely clarified. And here, [indiscernible] had on the investment bank has already managed a [indiscernible]. So in other words, all the projects do show good progress. And once again, here in this respect with the steam and stamp, as you know us into the right direction, in other words, into the future to get our aims to get our aims in 2023 to get these businesses to sell - to sell these businesses.
Operator: The next question is from the line of Matthew Yates with Bank of America. The next question is the line of Chetan Udeshi with JPMorgan.
Chetan Udeshi: Yes. I have a couple of questions. The first one probably is for Ute. And Ute, I'm looking at the Slide 33 in the pack, which shows the development of net debt and leverage over time. And I'm quite curious with the net financial debt number. Because it's actually risen a loss from €2.8 billion at the end of 2020 now to €3.8 billion. And this is despite very high free cash flow that you guys disclosed last year of almost €1 billion. This year, also based on the guidance reached the cash flows to be at least €700 million or so. I'm just curious why is the financial net debt rising so much despite strong free cash flow generation, we've seen I think there is an increase in the gross financial debt, which is much more than the cash generation. So maybe you can touch upon what is driving that development? And how do you guys internally see that? Because clearly, any investor would like to see the deleveraging, especially when free cash flow is strong in the company.  The other question was just in terms of Q4, can you help us understand how do you see the dynamic today in terms of demand versus Q3? Do you see a stabilization? Or is it still a downward slope in terms of demand compared to, say, last quarter?
Ute Wolf: Yes. Thank you very much for your question. Yes, net debt, you're right, has not developed very well. This -- in the first 9 months, I think if you look at the constituents, of course, free cash flow is not where it should be in last year. So there is more to come. And if we take our guidance of the 30% cash conversion. That would give another €500 million also in debt reduction. I think that would then take that to a much better level.  But yes, I think the very high cash flow that we have on the free cash flow is also needed to a certain point of view. Of course, we are to pay the dividend, but also to do similar acquisitions. And we have here and there also lease and interest rate payments. And if you look at last year, I think that very much then also consumed of the free cash flow and net debt is more or less stable. I think if we take the level of last year, so end of last year, I think net debt levels are okay.  But if you look at the overall debt level, of course, we have some relief now from the pension movements, but of course, that can also fluctuate over time. From that point, I would say the levels as of end of last year are okay, our cash flow forecast that we have for this year will bring us a reasonable step back towards this level. So I think that are our thoughts on net debt.  Also on the core dynamics. Of course, in every year, we have a certain seasonality in Q4. So Q4 normally is 15% to 20% lower than Q3, so another medium quarter. So I think that is what we will also see. In this year may be a bit more pronounced if economy is slowing down now more visibly. So going forward, we expect lower volumes across most of the businesses, mainly less pronounced in Small Materials as we have also seen good performance in Q3. So I think maybe they have an extra cycle here and there. Pricing will remain supportive. So -- and the raw materials, at least the organic growth ones, have peaked in organics. We still have some legs here and there. So from that point of view, that will influence Q4.  As Christian said, we have very good visibility and also flexibility here and there on our energy costs. So there's something we have completely in our own hands. And all in all, we are confident, of course, to reach in Q4 EBITDA, which will bring us to our guidance range, I think that goes without saying. And we also gave you some light on that in our Q2 call, where we said, okay, first half as I said, the second half could be like this. So from that point of view, the slowdown is pretty much as expected. From that point of view, I think we are very confident here with our guidance in Q4.
Chetan Udeshi: Maybe if I can follow up, Ute, on your point on leases. Can you remind us what is the lease cash out now on an ongoing basis given that -- I think the Marl power plant was based on leases. So I guess the lease expenses will go up. So I'm just curious, what is the total cash out on leases on an ongoing basis now annually.
Ute Wolf: If we look at net debt, of course, the NPV of the whole lease goes into that. So I think that also drives the net debt development to a quite substantial amount. I think it's almost €400 million in the first 9 months. That is the commissioning of our power generation units, and it's the commissioning of a logistics were out here in essence. So I think these 2 came together. The leasing payments. I think we will follow up. I don't have that number here at hand. So I think we will follow up with you at a later stage. Of course, it will increase a little bit. You have to see that leases are between 10 and 15 years. So I think you can more or less take the math from the volume.
Operator: The next question is from the line of Matthew Yates with Bank of America.
Matthew Yates: Can I just come back quickly on the Health Care question from earlier? If you take those one-offs, are you able to more explicitly quantify what the missed profit was in Q3? Are we talking €10 million, €20 million or so, just so we can isolate or hopefully a one-off issues? And then the other question, just to come back on the cash flow. You've spoken about taking some, I think, optimization measures on the inventory in Q4. Can you just elaborate a little bit what you mean by that? Are you talking about cutting production run rates or discounting product? How are you going to optimize the inventory?
Ute Wolf: Yes. I think on the net working capital, of course, inventories is one thing, but it's also receivables. So we manage here, of course, these 2 categories very closely. If you look at our cash flow and our balance sheet, we really have built a lot of inventory. Of course, that was driven also by raw material prices, but also by volumes. Partially, we had plant maintenance in the course of this year. So the buildup was intentional and, of course, necessary. But of course, now towards the end of the year, that now has to come back to normalized levels.  Since Q3, we are in very close discussions and we're closely monitoring where inventory levels are, what are the plans in the divisions, how to reduce them step-by-step so that everybody has their own working plan what to do in which product line and which business line, and that is now being executed. That has here and there, the consequence that production is carried out at lower utilization rates that less raw materials are purchased and you see that already in our Q3 numbers that the payables went down. So I think that is 1 consequence of that. But again, towards the end of the year, it's very much about inventory and receivables. The Health Care miss, I think it's hard to say because Health Care has the seasonality also in an ideal year. What is an ideal part of the year, they would have had the biggest share of profit in Q4. So I would say it's a lower double-digit EBITDA not sure whether that really helps in correcting that. But of course, that is up to you to decide that.
Operator: The next question is from the line of Thomas Swoboda with Societe Generale.
Thomas Swoboda: Yes. I have two questions, please. Firstly, on the cost savings, I mean could you -- could you narrow the target range for us, if possible? Are we rather looking at €100 million or €500 million? And more narrow ballpark would be very helpful. And related to that, do you want to retain most of the cost savings beyond the crisis? Or should we look at them like doing -- like those during the COVID crisis rather of a temporary nature?  And my second question is on the renewable contract you just signed. The signing is during an interesting period. And I'm just wondering what are the implications of -- on the long-term costs, energy cost you will have in Europe. Could you talk a little bit what is the price of this energy compared to the pre-crisis level? Is it a steep increase? Is it stable? Anything you could say about that would be very helpful.
Christian Kullmann: Travis, I'll take the second question about the terms of the PPA within EnBW. The conditions -- the fixed conditions we have made with the long-term contracts as in a duration of about 15 years. And before shaking hands, we have benchmarked the pricing with several market experts, for example, Ernst & Young and several others. And in comparison, we see conventional in comparison with the fossil-based electricity, checking in consideration what I've said first, it is fair. It is reasonable to assume that pricing we have made here with our new partners. It's really an attractive one. To say maybe it is -- if it takes the market range for those kind of contracts, we are coming out at the lower end of this range, maybe even a little bit better. So in other words, if you assume it is an attractive pricing with a long run perspective, you are on the better side of your interpretation. That was second question.  First was about the cost-saving program. Maybe here, in a nutshell, a cost-saving program, we are very experienced in this because we have done it in the past for several times. And once again, we have opened our toolbox, which is pretty well filled up with initiatives and measures, and that is what we have started. It is already in place, and that will support our positions in the next year, definitely. And please forgive us, forgive me, if we do not provide you with a very precise number. I can get it. Ute can get it too. I can read it in Ute's eyes that you are really keen on getting here a precise number. But it is just a little bit too early to provide you with. But please be sure that we will, as always, since ever we have said so that we have pressed the right button and the measures we have now in place are already negotiated with our core determination. So we are here pretty well positioned to ramp them up to start immediately, and that is what we have done.
Operator: The next question is from the line of Sebastian Bray with Berenberg.
Sebastian Bray: I would have two, please. The first is on technology and infrastructure. There's been quite a lot of one-off effects year-to-date in this segment. What is a reasonable underlying run rate to assume from the year 2023 onwards? And my second is on interest costs. I appreciate this is somewhat of a theoretical question given that the business is likely to make divestments at lower the level of leverage. But at spot interest rate -- market interest rates, what would be net financial item be for 2023?
Ute Wolf: Yes. Sebastian, thank you very much for your very detailed questions. TI, I think the reporting you see is at a level where we -- already we distribute internally profit from TI to the division because it doesn't help if TI makes a good profit. It's an infrastructure provider, and we more or less run it on an infrastructure ROCE, and then the rest gets then kicked back, so to say, to the operational division. That means the normalized earnings level for TI is somewhere in that region, €140 million, €150 million EBITDA because that's more or less the equivalent of that mechanism.  Interest costs, yes, what we see now is higher interest lead to lower financial results, also better financial results. But of course, that's balance sheet technique. We have refinanced the long-term items already in the last 12 to 18 months. So there is no immediate long-term refinancing. Of course, we have rolled over our syndicated loan. But I think the cost increase is very, very limited from that. Then we have, of course, a good bunch of short-term instruments, should we need more liquidity in the next year. But that more or less is really on [indiscernible] So also, I think, with very over-lookable, over-seeable interest cost. So from that point of view, there is no long-term financing here, which will then to turn the financial result around the next year.
Sebastian Bray: That's helpful. And if I may just follow up. Again, it comes down to leverage for next year. I appreciate what the answer to this question might be, well, you'll find out early next year, but we price achieved for the divestment of the €100 million or so sales from Specialty Additives. Is that comparable to the amount of revenue that a business generates on an annual basis?
Ute Wolf: Yes. I think you are more expert than we are, what a good pricing is in the market. But I would not. Yes. Say the opposite I think it's a very adequate pricing. And I think you know what that means for such an asset.
Operator: The next question is from the line of Martin Roediger with Kepler Cheuvreux.
Martin Roediger: Actually my questions have been already answered. Only one left on the energy hedging. I recall that at the end of last year, you had hedges running 2 or 3 years or you have been hedged already for a period of 2 to 3 years. Is that still the case for you?
Ute Wolf: The hedging mechanism has not changed, fundamentally. But of course, on the technical side, we are discussing that, but the basic mechanism is in place.
Operator: The next question is from the line of Jaideep Pandya with On Field Research.
Jaideep Pandya: Yes. I want to ask firstly on methionine. In the Chinese market, if I understand it correctly, this has traditionally always been a powder market. And obviously, Adisseo has just increased their capacity materially on the liquid side. So how do you sort of see this dynamic in terms of powder versus liquid? When we think about China and also sort of the rest of the world in a sort of slightly more difficult backdrop for your customers in terms of penetration, but also in terms of pricing going into next year. And then the second question really is around your cost savings program, but on a more slightly different note, when you do divest Performance Materials all together, will there be additional cost savings needed to sort of rightsize the organization to the sort of new 3 division level again?
Ute Wolf: Yes. Jaideep. Thank you for the questions. I'll do the second 1 and then Christian will take the methionine question. Of course, if we sell a bigger asset in our group, there are -- we have to see what is on the right side of the remaining organizations. We have, of course, price of the functions that go with the asset that's clear because to make it really a self-sufficient entity. But we did it when we sold Methacrylates. That's clearly -- we know that from the beginning, and that has been part of the ongoing improvement -- continuous improvement process.
Christian Kullmann: Yes. I'll take the second one. In fact, there's no really difference between a powder or liquid kind of methionine. In respect of the market dynamic, it is, give or take, the same rhythm, and that is as clear as I could convey the answer to your question. So ladies and gentlemen, this ends our call for today. It was our pleasure having had you here on. Thanks so far for your attention, and take care.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.